Operator: Greetings. Welcome to ABM Industries First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Susie Kim, Vice President of Investor Relations and Treasurer. Thank you. You may begin.
Susie Kim: Thank you all for joining us this morning. With us today are Scott Salmirs, our President and Chief Executive Officer; and Earl Ellis, our new Executive Vice President and Chief Financial Officer. We issued our press release yesterday afternoon announcing our first quarter fiscal 2021 financial results. A copy of this release and an accompanying slide presentation can be found on our corporate website. Before we begin, I would like to remind you that our call and presentation today contain predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in a slide that accompanies our presentation, as well as our filings with the SEC. During the course of this call, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the Company’s website under the Investors tab. I would now like to turn the call over to Scott.
Scott Salmirs: Thanks, Susie. Good morning. And thank you all for joining us today to discuss our first quarter results. As you read in yesterday’s press release, 2021 is off to a tremendous start. Total revenue was approximately $1.5 billion, representing a 7.5% decline versus last year, which exceeded our expectations and reflects continued sequential improvement. As anticipated, our Aviation segment remains the primary driver behind the revenue decrease. On both the GAAP and an adjusted basis, earnings grew by 160% or more year-over-year. GAAP continuing EPS grew to $1.10 per share or $1.01 per share on an adjusted basis. Adjusted EBITDA margins expanded more than 400 basis points to 8.3% compared to last year. Anchoring these results was elevated demand for higher margin work orders for virus protection, as well as our EnhancedClean services, which are longer term in nature. Effective labor management continued to be a lever for profitability. As you may remember, the majority of our contracts are performance-based. So, any efficiencies we find in staffing as the occupancy drops or schools are in a hybrid situation, inures orders to our benefit. This is the advantage of having a flexible labor model. Earl will discuss our segments in more detail, but overall, our industry group drivers are similar to what we saw during the balance of last year. Not surprisingly, our Aviation and Technical Solutions segments were challenged by the pandemic, due to decreased global travel and limited site access for retrofit projects and educational facilities. Education is a segment though grew top and bottom line during the quarter, which shows how well our team has adapted operationally to the hybrid learning system. And Business & Industry and Technology & Manufacturing are still strong outperformance. They’ve been able to offset COVID-related revenue compression with higher margin work orders, EnhancedClean contracts and labor management. Now, we’re now almost at the one year mark since the start of the pandemic, and I’ve just summarized our fourth consecutive quarter of strong results. This sustained performance suggests that we have reached a level of consistency in our results and stabilization across our client portfolio. Let me now provide some thoughts on where we believe the operating environment is headed, especially in light of our full year guidance. Before I dive into what momentum to normalcy looks like in 2021, I want to underscore that normalcy does not imply less vigilance around virus protection. Over the past several months, there’ve been countless news and scientific journals reminding us that COVID-19 and its after effects will continue to over the foreseeable future. Many believe it will be a permanent fact of life with people getting regularly vaccinated, similar to how we handle flu vaccinations. We’re so enthusiastic that vaccine rollouts are underway across the country. Most importantly, the vaccines will save lives, but the rollouts will also lead to momentum back to work, school, travel and attending entertainment venues. However, vaccine rollouts have not been uniform on a state by state basis, nor have state policies on masking, public gatherings and other factors that impact infections and new cases. These factors, as well as the ongoing discovery of new variants highlight how societies need to respond to COVID-19 on an elevated level will not end in the near term. This is why it’s so critical for us to partner with our clients and assess their evolving needs and engage our expert advisory panel. In B&I, the vaccines will spur momentum back to work, which for us means a return of more traditional janitorial work, as well as the continuation of disinfecting, given higher occupancy. Currently, average occupancy across the country is approximately 15%. We anticipate this could increase to 25% by Labor Day and grow to 50-plus-percent through calendar year end. As clients begin to plan their returns, they are focusing on building trust in their facilities through health and safety protocols. Rigor around cleaning, disinfecting and especially physical spacing will be incorporated into their plans. For this reason you do not anticipate a near-term reduction in space utilization across commercial real estate, especially with Class A buildings and blue chip clients. For a sector like education, we believe the hybrid model will be in effect for at least the rest of the school year. Soon, if not already, institutions will start planning for the fall 2021 semester with a push for more in-person learning in the K-12 segments and higher ed. How this unfolds could vary by region. We should have a better line of sight when we speak to you after Q2 earnings. And I’m sure as vaccine adoption continues to expand, there’s probably no sector more poised for a robust volume recovery than aviation. We are definitely hearing about pent-up demand for personal travel and minimally a modest return of business travel. For ABM, our business portfolio consists of both airlines and airports. As airports were opened during the pandemic, operations in areas like terminal cleaning, transportation and shovel service enabled us to mitigate reduced volumes on the airline side. And ultimately this diversification helped us break even last year, which was a major achievement. On the airline side, current travel volumes are approximately 50% of pre-COVID levels. Assuming vaccine will allow to gain traction, we believe we could see that grow moderately by year end. As both airlines and airports see increased traffic, the need for disinfection, virus protection and EnhancedClean will grow. On an enterprise level, we conducted a pulse survey of approximately 200 clients last month that largely aligned for our own full year expectations. Most respondents are expecting that facilities to more fully reopen and their companies to be endorsing re-occupancy in varying forms by September. And they plan to continue taking multiple measures to protect spaces against COVID-19 as they reopen, primarily in the areas of surface and air disinfection. And even with the increase in flexible work schedules and work from home protocols, the vast majority of our clients say that they expect the total amount of space utilization to remain largely the same. Now, the size of our survey is just a subset of our client base, but it supports what we are hearing more broadly as we communicate with our customers on their future plans. It also speaks to our confidence in providing full year guidance today. For fiscal 2021, we’re introducing full year guidance of earnings per diluted share of $2.85 to $3.10, or $3.00 to $3.25 on an adjusted basis. Our outlook for adjusted EBITDA margins is 6.6% to 7%, which compares to 6% last year. We also expect a return to growth by the second half of this year and consistent demand for high-margin work orders and EnhancedClean services through year-end. We also anticipate retaining most of our labor arbitrage through year-end. And our success will not translate to complacency. Based on how the pandemic has changed our trajectory, we think capitalizing on our momentum to elevate our brand and business. At the end of February, we launched ABM’s first national TV commercial. It was a celebratory moment for the entire firm, and we could not be prouder. If you’ve not seen it on CNBC or Bloomberg TV, you can find it on our IR website today. As we discussed last year, we are going to be investing in our clients, team members and infrastructure. We’re focused on providing technology and data analytics capabilities to enhance client and team member experiences. We’re also prioritizing areas like talent development to further empower our people and create even more consequential relationships with our clients. We are committed to building upon our strong culture and fostering a community of belonging where team members feel connected, valued, and inspired. This reinforces our mission and vision as an organization and will have significant long-term commercial outcomes for us. Internal initiatives, such as our culture and inclusion council are dedicated to driving meaningful social change and cultivating an inclusive environment for everyone at ABM. And we’re taking active steps to turn this vision into reality. I’m excited to share that we have entered into partnerships with organizations that are focused on building a more equitable society. ABM has made a commitment to support the NAACP Legal Defense and Educational Fund, the Hispanic Scholarship Fund, the Afterschool Alliance and the Thurgood Marshall College Fund. We are partnering with these organizations in an effort to make a difference in the areas of advocacy and civil rights, basic human needs, education and workforce development. Before I turn the call over to Earl, I want to look back at this time last year, during our first quarter earnings call of 2020. We were just starting to discuss the coronavirus and its impact on the economy. At that time, I reiterated how our diversified portfolio, coupled with our nimble operating model were hallmarks of our long-term success over the past 110 years. Our results over the past 12 months have proven this beyond a doubt. And with our solid liquidity and leverage, we are better positioned than ever to pursue growth and profitability that will unlock even greater shareholder value. I want to thank our employees for another quarter of absolutely incredible execution, particularly those who were impacted by the recent winter storms in the south. The dedication of the ABM team continues to fuel our performance quarter-after-quarter. We have a culture like no other in our industry. In addition to our team members, I’d like to thank our Board of Directors, including our newest Director Quincy Allen, for their guidance and encouragement. I also thank you, our analysts and shareholders for your support during a time when the environment was particularly opaque. I’m proud that our results have been the greatest proof point of our resilience, agility, and excellence. I’ll now turn the call over to Earl.
Earl Ellis: Thanks, Scott, and good morning, everyone. Let me start by thanking all of my fellow ABM team members for the warm welcome I’ve experienced since joining the organization. Today marks my 100th day at ABM, and my early impressions about the organization’s drive to collaborate and execute have only grown. As I continue to evaluate and assess our business needs, my main area of focus will be on helping to determine the appropriate enablers for both strategic growth and continuous improvement. As I will discuss in more detail shortly, our strong results over the past several quarters coupled with our leadership position in the marketplace, provides us with great opportunity to invest in our future growth potential. I look forward to finalizing our thoughts on areas such as our internal investing strategy and sharing with all of you over the course of the year. Now, onto the results. Revenue for the quarter was $1.5 billion, a decrease of 7.5% compared to last year. The decrease in revenue reflects the continued impact COVID-19 has had across our business segments. As a reminder, the pandemic had not yet impacted operations significantly until our second quarter last year. And as such, this quarter reflects the full year-over-year impact. Partially offsetting this revenue decline was the ongoing demand for higher margin disinfection-related work orders and EnhancedClean services. Work orders were particularly strong within our Business & Industry and Technology & Manufacturing industry groups. On a GAAP basis, our income from continuing operations was $74.6 million or $1.10 per diluted share compared to $27.9 million or $0.41 last year. In addition to our strong operational performance, the increase versus last year was driven by favorable developments in prior year self-insurance adjustments. We saw an $11.4 million benefit this year compared to $6.6 million in the first quarter of fiscal 2020. Additionally, we saw our second consecutive quarter of current year positive insurance trends, recording a benefit of approximately $3 million. On an adjusted basis, income from continuing operations for the quarter increased to $68.3 million or $1.01 per diluted share compared to $26.2 million or $0.39 last year. Our GAAP and adjusted earnings growth versus last year continued to be driven by significant increases in higher margin work orders and EnhancedClean services. As our clients have incorporated health and hygiene services such as disinfection into their operations at higher level, we continue to experience higher margins as a result of direct labor efficiencies as our operators proactively manage the deployment of labor commensurate with COVID-19-related revenue declines. Additionally, results also reflect one less working day, which amounted to labor expense savings of approximately $6 million. Other items such as corporate discretionary expense, amortization and interest were also lower compared to last year. These results were partially offset by our plant infrastructure and organizational investments in areas such as IT. However, I want to note that our investment spend for the quarter was approximately $4 million, which was lower than originally anticipated. During the quarter, we generated adjusted EBITDA of approximately $124 million for a margin rate of 8.3% compared to $68.8 million or 4.3% last year. I will now discuss our segment results. As I referenced earlier, these results reflect the ongoing impact of COVID-19, which has resulted in revenue compression across our services. As Scott discussed, our diversified segment structure has been a strength for us during the pandemic as each segment has been impacted by the pandemic in different ways, both positively and negatively. In most cases, though, with perhaps the exception of Technical Solutions, our segment results reflect some combination of a mix shift towards higher work orders and EnhancedClean services, labor modulation on lower service demand, as well as operational investments in areas such as EnhancedClean. B&I revenue was $809.4 million, which was down just $11.5 million or 1.4% versus last year. The parking, and sports and entertainment businesses were the predominant drivers of the revenue decline due to the ongoing pandemic. Almost entirely offsetting this decline was increased demand for higher margin work orders and EnhancedClean services at our national accounts and certain clients in corporate sectors, such as financial institutions. Operating profit for the quarter reflected this more favorable mix of business, resulting in $85.7 million or a margin of 10.6% compared to last year’s $38.2 million and 4.7%, respectively. Technology & Manufacturing remained one of our most resilient segments. T&M produced solid results for the quarter as it has since the beginning of the pandemic. The segment reported revenue of $249.2 million, an increase of 6.5% versus last year with an operating profit of $26.9 million or a margin rate of 10.8%. Work orders and EnhancedClean services drove demand for T&M, particularly within the industrial manufacturing, pharmaceuticals and high-tech sectors. We also experienced growth with our logistic clients as we supported them during the peak holiday season. Our Education segment grew revenues to $209.4 million with operating profit of $21.5 million or 10.2% margin. We believe these results reflect some stabilization as schools have continued the hybrid learning model that has been in effect since the back half of last year. Performance was primarily attributable to direct labor management due to modified staffing levels and other expense savings as low as demand for disinfection and COVID related work orders. Looking ahead, we anticipate some reinstitution of a traditional selling season in 2021, which did not really exist last year, due to the pandemic. We continue to monitor how schools are going to evolve their approach to teaching in the current environment, particularly as vaccination rollout progresses. Aviation reported revenue of approximately $143 million with operating profit of $3.2 million. As anticipated, this segment remained most impacted by COVID-19 and its effect on global travel. The quarter saw a modest sequential increase in travel due to the holidays, but also reverted quickly due to lockdowns in areas such as the UK. We continue to operate according to flight and passenger demand, providing higher tech services, such as electrostatic spraying, as we manage variable costs and expenses on a real-time basis to match demand. Finally, Technical Solutions reported revenue of $113 million versus $142 million last year. This decline was driven by site access issues at clients, such as in education continued to limit traffic into their facilities in order to protect administrative staff, teachers and students. However, backlog remains healthy, above $150 million, and we remain focused on churning through these projects as soon as possible. Operating profit was $6 million or 5.3% on a margin basis. Turning to cash and liquidity. We reported positive cash flow during the first quarter, despite this traditionally being a cash flow negative period. This even includes a deferral of approximately $31 million in payroll taxes from the CARES Act. We generated more than $45 million in cash flow from operations and free cash flow of approximately $39 million for the quarter. Our strong performance enabled us to end the quarter with total debt, including standby letters of credit of $851 million and a bank adjusted leverage ratio of 1.8 times. Additionally, we ended the quarter with cash and cash equivalents of $378 million. Given the consistency of our leverage and cash position over the last several quarters, we believe we have reached a point of stability, both operationally and financially. As a result, we are evaluating our capital allocation priorities. In addition to organic investments in our business, we are also exploring the M&A market for potential targets to drive growth and build on our current momentum. While remaining cognizant of our reentry into M&A, we will also consider share repurchases opportunistically. We currently have approximately $145 million remaining in our authorized share repurchase program, and we'll balance any potential activity with our M&A effort to ensure maximum flexibility. During the quarter, we paid our 219th consecutive quarterly cash dividend of $0.19 per common share for a total distribution of $12.7 million to shareholders. And as stated in our earnings release, our Board of Directors approved our 220th consecutive quarterly cash dividend. Now, turning to a guidance outlook. We are introducing a fiscal 2021 GAAP guidance outlook range of $2.85 to $3.10, and on an adjusted basis, $3.00 to $3.25 per share. Scott shared with you some great context from an operating perspective that supports our guidance. So, let me now provide some additional assumptions behind our guidance. Given our performance during the first quarter, we believe revenue will continue to improve sequentially with a return to growth in the back half of the year. And as growth improves and turns positive, we will have to staff back up accordingly. Therefore, there may be a partial reduction in the level of labor efficiencies we have experienced over the past year. But make no mistake. We do expect to retain a portion of these savings based on new opportunities and labor management practices we have adopted during COVID. And as it relates to higher margin work orders and EnhancedClean services, we do not anticipate a material slowdown in demand for the balance of the fiscal year. We expect our investments to pick up throughout the remainder of the year, as we support the strategic initiatives, namely in our IT transformation. On a year-over-year basis, we do expect an increase in corporate expenses for the year. Although, timing may vary from quarter to quarter, as you saw in the first quarter. Additionally, as a reminder, we undertook furlough and expense reduction efforts during the third quarter of last year, and as such expect to see year-over-year increases in expenses as we have resumed a portion of those expenditures. We are still in the planning and design phase of our technology roadmap. And we will update you as we finalize our plans. I'd also like to remind everyone that we will see an extra working day in Q2 and one less working day in Q3. Each working day should represent approximately $6 million of labor expense, similar to Q1. Moving to taxes, we continue to expect an effective tax rate of approximately 30% for 2021. This tax rate does not include discrete tax items, such as the Work Opportunity Tax Credit, and the tax impact of stock-based compensation awards. At the end of December, WOTC was formally extended by Congress through 2025. And current estimate suggests a $5 million or $0.07 impact on 2021. And finally, while we are not guiding to free cash flow until we can finalize the impact of our tech transformation on capital expenditures, I want to express my enthusiasm for the strong start to the year. Given our strong cash flow performance to date, we believe we'll be able to achieve a range above our historical $175 million to $200 million, and look forward to updating you as we finalize our longer term plans. In closing, we're excited about our performance for the quarter, as well as our outlook for the year. And we look forward to updating you on our continued progress next quarter. Operator, we are now ready for questions.
Operator: Thank you. [Operator instructions] Our first question is from Sean Eastman with KeyBanc Capital Markets. Please proceed.
Sean Eastman: Hi team. Certainly a strong start to the year. Pretty impressive. I guess along those lines, my first question is, if we just look at the annual guidance, you guys are off to a head start here with the first quarter, implying around 30 -- over 30% of earnings in the first quarter versus kind of a high-teens number on average over the last 10-years in the first quarter. So, I'm just curious where you think you might need to have some conservatism in there. Given this head start, I mean, is it really just the labor efficiency dynamic as revenue recovers? Is it the technology investments ramping up? Any color around that cadence would be helpful.
Scott Salmirs: Yes. I mean, I think you hit it right on the head. And I think predominantly, we have to remember, it's early, right? We just finished Q1. And we have some nice line of sight into Q2, but it's early in the year, and we want to be responsible, right? So, I think, we'll always have an opportunity as we go along to update, if we need to, Sean. But for now, I think we feel real comfortable where we are.
Sean Eastman: Okay. Got it. And the capital allocation comments are interesting, just around the stability and where leverage is. I'm just curious what an acquisition could look like for you guys. Maybe it's early there as well. But, just a bit of a flavor for what you guys are looking at. What kind of supplement to the organic growth recovery do you envision? It would be helpful to understand that.
Scott Salmirs: Sure. I mean, look, for us, we're looking in two primary areas. First, building into our core, which is janitorial. And if anything, COVID-19 has really elevated that core. So, that's something that we're excited to look at. And then also, our ATS group. We love that division. We love where society’s heading towards energy efficiency, sustainability, electric vehicle charging. These are all our major work streams there. So, we've talked about in the past that we want to build our geographic footprint across the U.S. So, I could see us doing some fill-in acquisitions there as well. So, that's kind of where our focus is at the moment. Those two areas, core janitorial and ATS.
Sean Eastman: Okay. And then one last quick one for me, on ATS, I mean you guys have exposure to EV charging. You have exposure to energy efficiency in buildings, two clear priority areas from the new administration. I mean, have you seen the ATS bid pipeline firm, or is that sort of a stay tuned, too early?
Scott Salmirs: No. Look, we have a really strong pipeline and a strong backlog. And I think the new administration's attitudes towards the things I just talked about, sustainability and energy management, are great. And it really goes beyond the administration, right? It's -- it really goes to society, right? And it's just -- it's playing into all the right trends. And if you remember, the ATS group also -- there's a fair amount of work in educational facilities. And you all know how strained budgets are for schools, K-12 and frankly higher ed. And so, we come in with really good energy saving solutions. And you've heard us talk before about proof points of literally saving teachers' jobs, saving afterschool programs. So, we think that there's going to be good momentum towards selling energy projects into schools as well. So, everything is pointing up for us in ATS. It's just for us right now, the impediment has been access to facilities, right, with COVID. And we suspect we'll see a lot more traction in the back half of the year as the vaccines roll out. And also as schools close, we'll have a chance to get access and start churning that backlog and turning it into real revenue. And remember, backlog is signed contracts. So, we're super confident. We have a very strong backlog. We just have to turn it into revenue by actually starting the project.
Operator: Our next question is from Andy Wittmann with Robert W. Baird. Please proceed.
Andy Wittmann: Great. And good morning, everyone. Thank you for taking my questions. I was just hoping to just understand a little bit more again this quarter, the driver of the year-over-year margin improvement. Last quarter, I guess, you said it was kind of roughly half mix benefit from tag and EnhancedClean and the other half was the benefit of labor management. Was there any difference in the character of that, particularly considering that some of the corporate investments also came in and were an offset the other way?
Earl Ellis: Yes. No. Thanks, Andy, for the question. You're spot on. Very similar to what we saw last quarter, this year-over-year uptick that we're seeing in margin is driven by those two components. So, firstly, the labor efficiencies that we've been receiving as well as the higher margins associated with both work orders and EnhancedClean services. And that really attributed to 400 basis points of the year-over-year accretion really again split 50-50. In addition to that, we saw the one less working day, which attributed to about 40 basis points, which was offset by incremental investments that you'll see in the corporate expense line.
Andy Wittmann: Got it. Okay. Well, given that, and I appreciate the physical occupancy data that you guys shared, the 15 going to 25 by Labor Day. I guess, you said and then by calendar year-end, getting a lot more normal than that. I mean, that is a recovery in physical occupancy of the space, but I wouldn't say that that's any kind of sharp snapback or major change very quickly. And in fact, that Labor Day represents most of the rest of your fiscal year. So, given that and just doing some math on your guidance here, using your EPS guidance and some of the other known quantities here, it looks like the balance of the EBITDA margins are down pretty significantly -- not down, up year-over-year, up to historic levels, down sequentially from a great performance in 1Q is what I mean. I mean, I'm calculating something in the mid-6s for the balance of the year. So, that's a pretty big change. So, I was hoping that you could give a little bit more meat on the bone, other than kind of what you said, or in addition to what you said, to get us comfortable with the fact that this is the right margin level to be thinking about for the balance of the year.
Scott Salmirs: Yes. Look, again, we want to be responsible, Andy, you know we are. And we look at the remainder of the year, and we do think there's going to be momentum back, which will cause us to lose some of the labor efficiencies we get in the hybrid model, predominantly in commercial as there's momentum back to the office. So that -- and that's it. And then, we are going to be starting the corporate investments. We have a slow start at Q1 because we wanted to be super cautious with -- we want to be super cautious with the pandemic still. Remember, our quarter is like November, December, January, right? So, we'll be starting to build in those investments in our strategy and IT area. And it's all for long-term growth. We are going into a growth mode at ABM, and we need to support it with those investments.
Andy Wittmann: Got it. I have just one last question to follow up on kind of on the fundamentals of the business and demand. Last year, I think, was defined by very, very low customer loss, very high retention. Everybody just kind of wanted to hunker down, not change anything, make sure that they do this. You guys have talked a lot about how ABM's been well positioned with your processes and your leadership in the industry as the ability to take share. I was wondering, Scott, if you could talk a little bit about the dynamics. Now that we're starting to think about reopen, are there more customers looking to switch providers going forward now that the world is a little bit more stable? And just given that -- as they look to switch, are they also looking to bake into the base contract some of the work order that's become so consistent as part of what their process is. You're offering EnhancedClean as basically the deeper level of cleaning. But, are customers looking to switch? And if they switch, are they looking to bake in more content? And what are the implications of that if they do on margins? Thanks. Sorry for the long question.
Scott Salmirs: Yes. I got the essence of it, for sure. Look, Q1 was great retention for us. We were in that 92%, 93% zone. And I think earlier on, we were more cautious about a lot of rebids happening. I think, certainly, if there's one area, it’d probably be Education, because the one thing we know, the school budgets, they're all constrained, right? And they'll be looking for opportunities. So, we'll expect to see a higher level of bids in education, but that's -- there's a plus side to that, too, right? Because all this other work is going to get bid out that we don't have, right? And we do love our platform now with our EnhancedClean. So, where we may get a little pressured on retention, we may pick it up on the sales side. And with EnhancedClean, it's not in the scope of work. And we don't -- as things get rebid for the first couple of years, I'm not so sure how robust the bidding activity is going to be. And what makes me think about that, Andy, is not only are we talking to clients, but on top of that, so many of our clients have their space needs in flux in terms of how they're going to lay out the floors for distancing and the definite -- the use cases they're going to have when people come back. So, I don't think there's going to be this rush to go bid right away until they understand the occupancy. But even still, when it does get baked in over the next couple of years, I don't think we're going to have too much of a deterioration on margin. Because if you think about EnhancedClean, it is the people are better trained because they're using different types of chemicals, they're using expensive equipment. So, we believe between that and all the resources we're putting in with our advisory panel that we're going to be able to maintain a good portion of our margins when it eventually does get baked in. But again, I just don't think it's going to be immediate because there's too many other drivers that are going to inhibit them from having this all-out bidding.
Operator: Our next question is from Sam Kusswurm with William Blair. Please proceed.
Sam Kusswurm: Good morning, Scott, Earl. I hope you’re both doing well. I'll have another one for the margins. Do you think that 2021 adjusted EBITDA margin is where profitability kind of peaks out for you guys? I know you mentioned some costs to be going back throughout the year here. Basically, I'm curious if your long-term margin outlook of 5.5% to 6% is kind of irrelevant now because the business was changing. Is 6%-plus the new normal, given customers want this high-margin virus protection moving forward?
Scott Salmirs: Yes. I mean, that's a good question. So, I think for us, if you remember pre-COVID, that 5.5% to 6% zone was where we were trying to gravitate to over the next two or three years. It's certainly -- we believe that COVID and kind of the virus awareness in society has squarely put us into that 5.5% to 6% zone. And we're going to be thinking about investing into our business over the next five years. We're going to do the things that we need to do to break out of that zone. That is our ultimate goal. We always want to overachieve. But, I think for now, what we're really saying is we solidly landed into that zone a couple of years ahead of where we wanted to be. And the next phase -- we're finishing up 2020 vision now. I think the next phase of a five-year journey is going to outline a path to get out of that zone.
Sam Kusswurm: Great. That's helpful commentary. Maybe switching gears, I have a quick one on B&I then. I assume there's a lot of clean disinfection work that must be done in preparation for some of these folks going back to work as well. I'm kind of wondering as far as it relates to your guidance, are you contemplating the significant step-up in B&I-related reopening revenue in your fiscal fourth quarter of this year?
Scott Salmirs: Yes. So, we do believe there will be increased volume as there is a return to work. And the offsetting factor to that is we're going to have to step up, right? So, we look at those two in conjunction with one another, but there will definitely be elevated volumes as people return back. But, if you remember, like with our fiscal year, we end October 31, and we think at that time, we're going to be somewhere between that 25% to 50% of occupancy. So, it's probably going to be more like '22 when you're going to have a robust return to the office, where those levels will be even elevated past what we'll see in '21.
Operator: Our next question is from David Silver with CL King. Please proceed.
David Silver: Scott, I wanted to follow up maybe on one of your answers here regarding retention rates. So, I mean, historically, you've been very clear about pursuing high retention rates on your annual contracts. I'm just wondering if you have any early data thus far, like on a couple of things. First off, the six-month EnhancedClean contracts. My sense is a lot of those are coming up for renewal. And I'm just wondering if you have some early read on retention rates there. And then, maybe more qualitative comment regarding the tag work or the work orders that you're seeing. So, I mean, it’s very hard to generalize, but is there seemingly a customer strategy evolving where maybe they have a work order every couple of weeks or so, or once a month to supplement the standard annual contract? So, just some idea of the cadence there on EnhancedClean and the work orders? Thank you.
Scott Salmirs: Yes, sure. No problem. So look, I think for us, again, it's been sustained, right? And if you look at our work orders and EnhancedClean, we did $150 million of that in the first quarter as compared to $300 million all of last year. So, we're excited about that. And then, our renewals have been very strong on EnhancedClean so far, which is a really good sign. But, I think what was even more powerful for us is when we surveyed our clients, 90% of our clients said on reopening, they're going to do the same, if not more, virus protection, which is pretty incredible. And then, take that to the next level, 85% of our clients said, when they look out two years past the pandemic or more, they're going to continue to be doing virus protection. So, it kind of proves the thesis that we've been saying all along that in some extent, Pandora's box has been opened around virus protection and awareness and been confirmed. And not only through the survey results, but as you can imagine, we're constantly communicating with our clients about reopen plans. And it just confirms what we're hearing in the surveys. So, really optimistic. Was that helpful?
David Silver: Yes. No, that's great. One quick one and then one strategic question. But the quick one would be on the CARES Act. And I believe last year, the Cares Act allowed you to defer roughly, I think, $100 million or so of employment taxes. Can you just maybe remind me what -- or can you update us on how that is going -- how that went in the first quarter? And then maybe from a FY21 basis, will any of that accumulated kind of deferral need to be repaid? So, maybe the fiscal year '21 cash flow impact puts and takes on the CARES Act would be great. Thank you.
Earl Ellis: Yes. David, it's Earl. Let me address that. So for start, if you look at the cash flow from operations this quarter, we landed at about $40 million, which if you think about Q1, this is probably the first time in recent history that Q1 has actually generated positive cash as opposed to actually being a net drop on cash. $31 million of that cash flow came from the CARES Act. So, if you look at what did last year, 130, 31, this year, it’s about $161 million. That will be repaid in two halves. The first half being next fiscal, which is really December -- the end of December 2021, and then the following fiscal -- or the following fiscal, the balance of that amount.
David Silver: Okay. All right. Great. I appreciate that. And then, last question would be more, I guess, just a -- it's a multitasking question first for you, Scott. But, when I think of your company here, I think you have this big new opportunity or newish opportunity that you're moving aggressively to invest in and to exploit regarding the post-pandemic business environment? And then, I also would say that within the last year, you've also initiated another significant kind of longer term strategic effort regarding your transformation programs. And I'm just wondering, as you kind of steer the ship here, can those two very significant high priority efforts, can they continue on without interruption? Is there some competition internally for resources? How does human resources view filling senior openings on one project or one effort versus the other? Just -- and of course, your time to management attention. So, how do you kind of manage, I guess, those parallel tracks on two high priority and frankly newer efforts relative to how your company has been positioned over the past several years? Thank you.
Scott Salmirs: No, that's a good question. I don't think they're out of line, to be honest. I think, they all are aligned together into kind of one vision going forward. And the way I think about it is, we're going to have this work stream and investing into the business organically. And that's the EnhancedClean, EnhancedFacilities and continuing to build excellence around that. So, you're going to have that. But, on a parallel path to that, we're going to be investing in our tech, right? And part of the tech is infrastructure and it's kind of table stakes, right, getting your data right, forming a framework around your technology, but that's really to accelerate and grow the business through client-facing technology, right? So, we get stickier with clients. And that client-facing technology can intersect with EnhancedClean, right, in terms of tracking systems and dashboards. So, I think that's really important. And then, also to accelerate the business, the technology is going to work towards workforce management, getting our people more efficient, getting our people more data, more touch points with our clients because we're informing them and enriching them with the data that we're capturing. So, I think it really aligns well, and we'll lay out in detail the next five years in the coming months. But, we're really excited about our ability to invest in our people and to invest in technology. And again, it's just going to come together beautifully and on line. So, we're really excited to talk about it over the next couple of months.
David Silver: All right. Just one final comment, but I did want to call out. I thought the slide deck that you put together for this call was exceptionally useful and helpful. And the opportunity to go through it last night was an added plus. So, thanks for the extra effort. I appreciate it.
Scott Salmirs: That's great. Thanks.
Operator: And we do have time for one more question. Our final question will be from Marc Riddick with Sidoti & Company.
Marc Riddick: So, let me also echo the last comments, the slide deck, for those who haven't had the chance to see it so far, I thought was exceptional, had a lot of great detail, and I really appreciate that. I really appreciate all the commentary that you've already given. But, I wanted to touch a little bit on the investment commentary, because in addition to the investments that you've talked about, I want to circle back to the idea that you've begun a national commercial campaign. And I don't think that's a small thing for a company that's century old, to for the first time, have a commercial. So, I was wondering if you can sort of talk a little bit about that thought process, what the branding opportunity that you see is, and what it kind of means for ABM as well as what it means for EnhancedClean in general?
Scott Salmirs: Sure. I mean, look, we -- you can imagine the pride we had, right, to have a national TV commercial for a company like us. And it was so well done, and we get such great comments on it. And I think it's multipurpose, right, Marc. Part of it is just the commercial side of it, meaning the commercial business side of it, and we're already seeing web traffic up over 10% just from the commercial, which is -- so that the payback is incredible. And just from a branding standpoint, it just repositions our brand and elevates our brand. And especially what we're doing with EnhancedClean and making sure people understand, Marc, that like we're an essential service. We're first responders. And we even say like, with healthcare professionals, they can't even -- hospital can't open until we've cleaned it, right? So, I think it just does so much for us on so many different levels. But, it doesn't hurt when you get a pure financial payback and you start seeing web traffic up and that turning into actual business.
Marc Riddick: And then, just to be clear, the commercial hasn't been out for very long, right? I mean, when did that hit the year?
Scott Salmirs: It's just been out for like two weeks? Yes.
Marc Riddick: Yes. I was sort of thinking about, on top of the investment commentary that you've made. So, as you're sort of thinking through the technology investments or what have you, from a timing perspective, I would imagine that some of that will see later this year and then flowing into next year. And then, obviously, you still got some decisions to make around that. But, is that a reasonable way to think about the technology spend that you have in front of you?
Earl Ellis: Yes. So, Marc, just let me address that. So, when we look at the technology spend, it's -- part of it is the planning and design that we currently are investing against our future IT infrastructure, which again will start with a rollout of the ERP system across the enterprise. Again, the decision right now is we're not going to do that in kind of like a big bang approach, but rather will be a series of rollouts. But presumably, you could see some deployment at the end of this year and then flowing into FY22.
Marc Riddick: Okay. That's helpful. And so, one of the surprises, I guess, of the call is the commentary around the acquisitions and looking at acquisitions as a more -- maybe more near-term potential use of cash than maybe some of us were thinking about. And I appreciate you including the commentary on the prioritization of what you might be looking at from an acquisition pipeline perspective. Is it too early to have begun to look at sort of what that pricing for those types of assets might look like, or how should we think about that -- the potential range of opportunities that might be in front of you?
Scott Salmirs: Yes. It's probably a little early. And different assets have different ranges, right? Like the ATS stuff is a little bit more pricey than the janitorial. And it's because it's higher growth, higher margin, right? So, I think we have to synthesize all that. And there's other things that we take into consideration, just besides multiple and pure financials. It's like, is there a strategic component to it? Like with ATS, where we talked about expanding our footprint and filling in gaps that we don't have -- or that we do have, rather, around the country. So, we put all those together and bake it into our analysis. But, it's kind of early right now for us. But hopefully, we'll have more to report on soon.
Marc Riddick: Okay. And then, the last thing for me is, a year ago, EnhancedClean didn't exist, and we were obviously in a different place, right? So, I wanted to sort of get a sense of, when we begin to sort of look at longer term what EnhancedClean could be. And it seems as though there's a certain -- there's going to be certain flow based on the types of customers that we have. But, it certainly seems to be encouraging from the survey data that you had in your slides and the like. I wanted to get a sense of that survey work and the feedback that you're getting, how recent was that? And do you get a sense that maybe some of the bigger picture issues, like the stimulus, like -- is that beginning to be reflected back in the commentary that you're getting from customers? Thank.
Scott Salmirs: Yes. I think that one of the biggest knock-on effects to this, Marc, has been the elevation of our brand, right? Because what our competitors are doing a lot of the same stuff that we're doing, but they're basically coming in and saying, we can electrostatic spray, right? Well, we could do that, too. But, when you take on at the EnhancedClean program, you get a different level of training, you get signage with it, right, you get a different level of the way you communicate to clients. You can even have evidence-based testing when we're done to show whether or not we've been successful in eradicating the COVID in the space. And it all ends with kind of the proverbial seal on the window that says, this facility has been EnhancedClean certified, because you remember, when we talk about the fact that we put together an advisory panel. So, I think the biggest push about this, Marc, is that it kind of -- it separates us from the pack. It really differentiates us. As we talked about before, a lot of our competitors are smaller regional companies. They don't have the resources that we have or the scale that we have or the supply chain. All those things are coming to fore now that we're this pandemic and has really inured to our benefit.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Scott Salmirs: Yes. Thank you. I just want to thank everybody for being on the call and all the support. And again, I want to thank our teammates for this incredible, incredible performance, and again, culture like no other, really enthusiastic. And we’ll look forward to being back in Q2 to update you. And in the meantime, just stay safe and don't let your guard down. We're getting out of this. So, let's continue on, everybody. Thank you.
Earl Ellis: Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. And thank you for your participation.